Operator: Ladies and gentlemen, welcome to the Titan International Incorporated Third Quarter 2016 Earnings Conference Call. During this session, all lines will be muted until the question-and-answer portion of the call. [Operator Instructions] Any statements made in this course of the conference call that state the company’s or management’s intentions, hopes, beliefs, expectations, or predictions for the future are considered forward-looking statements. Please note that the Safe Harbor statements contained in the company’s latest Form 10-K and Form 10-Q filed with the Securities and Exchange Commission extend to this conference call and any forward-looking statements involve risk and uncertainties as detailed therein. At this time, I would like to introduce Titan Chairman and CEO, Maurice Taylor. Please go ahead.
Maurice Taylor: Good morning, everyone. The numbers, you should have had all press release information and everything. During this part quarter, I have visited farmers, dealers and [indiscernible], all across North America. As I stated in the previous quarter’s big iron is down, it’s down about 70%. I believe it’s at the bottom and - but it’s not going to bounce up until pricing of the equipment, I’m referring to big iron, drops considerably; because in my visits when you look at the new tractors and the new combines they are a little bit like the Obamacare, you know they have everything that you can imagine electronically, and basically I believe in listening to farmers a little too much. So, the price has to I think back off because when you look at used equipment, it is moving off of dealers lots, if it is priced right. The smaller equipment at the OE level is going to stay pretty much for this next year, we believe where it is at. So, we expect that to actually move maybe just a little around 3% to 5% up. That is so real bright little spot. Construction equipment is the same as big iron. You listen to contractors, visit them, talk to them it costs a lot of money. If they can keep the other runner change tires, whatever, so be it. I think that’s going to bounce along. So, how do we increase our sales? Well, we have some great opportunities over the next 6 months. First, is our LSW. We issued a press release couple of weeks ago. What happened in Southern Missouri? A big farmer and owner of Delta New Holland did a big test using identical tractors and planters. The only differential in this was that one tractor had duals and the other was fitted with our LSW1100/46 on the rear and 1000/32 on the front. The lower contraction from the LSW tires versus the duals increased the yield in corn by 5 bushels an acre. And on soybeans it was 6 bushels an acre. When you look at these numbers that tells you there is a long-term growth for LSW tires in terms of the future for the aftermarket and changeovers. We were very excited about that and we believe over the next six months, our LSW sales will continue to grow. That’s one of the brighter spots that reference to tires and wheels we have. You're also going to see a growth in talking with farmers and talking with a lot of tire dealers. They all expect the aftermarket of the current tires to be growing. Now when you look at the wheel business, the wheel business will just bounce along except for the LSW wheels, which we believe will also continue to grow. Now when you move to Europe, in our European business, that is a different story. It’s tied right to the [indiscernible] and we looked at over there, that’s pretty close to bottom and so the main thing over there because we do not have plans at this point for at least the end of next year to be pushing LSW tires into what you would call less in Europe. Our concentration is going to be to our Russian facility because of the huge farms and what advantage they can get. So, the main thing we are doing in Europe is reducing cost. And we believe that that’s the main factor we have to work on. Last week, as I mentioned I was also over in our Russian factory with the team to go over the LSW tires and wheels. Sales are growing over. They have a bright spot. They will be exporting larger radial tires, once the equipment we shipped over a few months ago is there an up and running. So, we look at that in the first quarter of 2017. We also will be assembling LSW wheels and regular wheels for the farm, a construction wheels in the areas to Russia and exporting into Ukraine and all of the old CIS countries. Now, we – our plan there is to ship components, rims and the centers from our plants in Turkey and in Italy, so that will help them. But we are going to assemble them and paint them, so we have some Russian content. Moving on to a facility in South America, it is slowly coming back and we are waiting now for government approval, which we expect before the end of this year on shipping our wheel equipment which has been ready for months into Brazil. Our LSWs down there are performing at a much better situation down there that we even expected and the reason being is that the equipment they were using was so slow because of the problems they had with traction, that not only are they getting much less contraction, but they are getting more speed and they are getting more speed and so you take the smaller tractors they use in reference to comparison to North America, they are actually giving double the speed. So when you get double the speed from the same vehicle, you are also getting a big increase in fuel economy besides planting faster, and we will be making LSW tires there by mid-2017. We will have to continue to ship the wheels from the U.S. until we get up and running down there. But that is the real quick what we see and what we go. The other basic news is touching on our PTRC up in the oil sands and that is up, it's running. We’re doing crew training for the operations of safety. We’re running probably at about a third to 50% to what we want to really crank it up because we are waiting for the carbon black shifting slithering system, which you have to - it's like a shaker, and the carbon back that goes through and you get out the - you take out little slivers of the steel that are inherent that you get in the carbon back because you aren't going to have any steal in it. And you also get a little bit of the axle and that units, units are coming this month and the last piece of the magnetic system is due to the first week of December. That is a real bright spot and there has been a few items that really are showing that up to be more important than ever before and that is that the problems of Ontario. We used to have a disposal for the tires. They announced they passed the law and January 1 – and any tire manufacturer that sells a tire into their Province is responsible for ever that tire. So that’s gotten everybody up in the diverse because actually we were at that with PTRC meeting and we’re the only ones that have zero pollution and actually convert everything into reusable products and we get carbon credits. So that is a real bright spot of what's going on up there. The other item that there has been some question on, from calls is, how are we doing on ITM. IDM is moving. We expect that the final bids will be in on these numbers first. According to what we have heard is that the bidding should be up around the upper range than what we originally - when I came out and said it would - I thought the board would board approved. So, I expect when it’s all done, unless there is some big curve ball that that will come by the end of the year from the board and we will make an announcement then, one way or the under. They have done a real good job in this downturn. They have been expanding. So, we’re kind of like pleased what's going on. Now when you - now the main business, we make tires and wheels and that’s what we have been trying to pass reference to the market where we are trying to get ourselves to. I have been - the last time anything like the downturn to hit this was back in the late 70s. Most of you on the phone were not in this business, let’s hear-in, but maybe a couple of you out there where. And we came out of that and better and I expect the same thing with this. The main thing is, you just got to touch your cost. You got to keep looking for new products, what you can do and it all comes back and that’s how I look at it. And I think, we are in the best position for the growth. Appreciate that everybody likes to see all positive numbers, but as Paul will go through of all the things if you get your cost down and we have been able to generate cash. So, I think we’re on the right track. And with that I’m going to turn it over to Paul because he is closer to all the cost we got since. I wonder he's got plans, so take it away Paul.
Paul Reitz: Hi, sounds good. Thank you, Maurice. Good morning everybody. How about those cubs last night. Let’s start building that [indiscernible] statue. I think it’s going to be a pretty big one shining all over the city of Chicago and sure our boss is feeling about the victory last night, but certainly fun to see. Despite the continuing market challenges, I think we had some good things going on this quarter. I like to spend a few minutes talking about that this morning. You heard Maurice already talk about our LSW down in Brazil and also the test that we performed Titan has been and will remain committed to R&D, and developing the products that make us the leader in our industry for the foreseeable future. I mean that’s in the DNA of our company. We've not reduced any investment in engineering and R&D during the downturn. So we've talked about cost cuts being efficient, but we believe and continue to believe our future rests on being a leader in developing the best products in the industry. And so with that state of commitment, I want to make this an LSW infomercial, but we are big believers and what this means for our future, and we have many end users who have now experienced and seen the benefits of it. We've been introducing LSW into Brazil and I have to say, I’ve even been surprised how quickly we’ve been able to get some really good testimonials results from a few huge farmers down there. Our Grizz Squad will keep pushing LSW into Brazil and along with that we’re developing our wheel manufacturing operations in Sao Paulo. They will be right in our tire plant there. So you’re looking at a really good opportunity with LSW and the wheel business and what we can do for the farmers in OEMs and Latin America are coming our way in 2017, but I want to jump back a minute to that press release we put out a couple of weeks ago from our LSW test. Maurice referenced it, but this is a really big win because it demonstrated the improved yields you get from infusing LSW tires and wheels. And Maurice and I went up there and we spent some time with this farmer and he is also an equipment dealer. So, he covers both sides of the business and we just listened. And in listening to his success story that he had with LSW and seeing firsthand the genuine enthusiasm he had towards the performance of LSW, I have to say his positive energy was absolutely impressive and infectious. And keep in mind, he is an equipment dealer. So he is not going to risk his reputation for no reason to promote LSW. He's not just a farmer. So, we at Titan already know that LSW makes equipment perform better. It improves the fuel efficiency, the ride, but when you combine that with improved yields, you truly have a win-win for the farmers that puts more money in their pockets. And if you look at that picture in our press release. The depth and breadth of the roots says a thousand words that we’ve been trying to communicate for a couple of years about what LSW can do. So, look at this point, we are satisfied with the growth we’ve seen at LSW this year. We continue to position it as a premium price product in the market, but we all know at Titan and with the current users of LSW that there is much more to come with LSW in the future and we will continue to develop along with LSW, the biggest portfolio wheels and tires in our industry and that’s a commitment that we stand behind. Next, I want to spend a few minutes on the accomplishments with our financial performance this quarter. We saw our revenue stabilize to within a few million of last year. That is clearly good to see happen, but what’s even better to see is that our gross margin percentage was up 230 basis points this quarter over last year. That jump in GP percentage resulted in improvement to operating income over $6 million. The part I’m most proud of or what our team accomplished is that our Q3 operating income was up over last year in nearly all of four main geographies that we operate in. We’ll cover that later in more detail in the call, but what I want to illustrate is that our teams in Latin America, Australia, Europe, [indiscernible] and Russia have all done a really good job improving their results in tough market conditions. In North America, who is fighting the biggest challenge of all, like Maurice talked about earlier was big iron, considering the production of large horsepower volumes in North America, their performance and our performance in North America is not that far off from last year's operating income. So, obviously sales are down, but we’ve managed to the bottom line well there. I’m positive that we are a better operation in North America now than when we were before the downturn began and in a tough market these financial results across the board across all our major geographies don't come easy and it really requires the effort of many, many people from our team working together to make these good daily decisions on a consistent basis. So, again proud of our consistency across the board with that this quarter. On the other side of the fence, cash remains strong, $215 million. Bonds are trading in good territory in the 90s, bouncing back from those lows that we saw in the 60s. So, demonstrating the success we’ve had in managing the balance sheet side of the business. So, again, I’ll let Jim cover that later in the call, but what I want to say is that these accomplishments on the financial side, as a measuring stick really speak to what we’ve done in the face of the continuing challenges of a down market, if you look back a couple of years ago, there are some that view Titan as an organization that was running in far too many different directions in a somewhat unorganized manner. Look, under the one Titan umbrella, we as an organization have done a lot to get to where we are today and again I think the results speak for themselves. And I do believe that this team in Titan as a company is much better now than we were a few years ago when the downturn started. And we will continue to respond well for the challenges that are ahead of us. So, with that in note, I want to say that, I still believe we got some good runway ahead of us to continue moving this organization forward. We’ve done a good job managing the plant efficiency as the revenues decline, but even though our SG&A is less than last year, as a percent of sales, it’s higher than we like it to be. We’ve taken some bites out of it over the last couple of years. There are some challenges in doing that with prior commitments and agreements you have, but we’re definitely as organization focused on bringing that down in the future without, and I say this very sincerely without impacting the quality of four overall customer experience because - again in these tuff markets you cannot impact the value that you bring to your customer and think you're not going to damage your overall bottom line. And so, we’ll talk more about that in 2017, we’re still in the process of putting together all our plans for the year, but definitely believe there is some good path ahead of us to continue managing the operating expense side of this business. Another change we made recently was to reorganize our sales organization. I've mentioned quite a bit in previous calls, the changes and additions we’ve made to our sales teams, but the re-org went a step further and what we did is we aligned our Grizz Squad Group with our sales territory managers. The Grizz Squad has done a great job being out there in the field, bringing our LSW to our test farms, providing technical assistance to many of our existing customers, but the reality is we've moved beyond that test phase with LSW, and now it’s time to go sell products. And in North America now, when you take the Grizz Squad and aligning with our territory managers, you are unleashing a much larger sales group here in North America that will be out there on the street every day visiting current potential customers. So, again I think in a tough market, I’m pretty excited to see what we can do with this large group of individuals that are going to be out there every day pushing for Titan. We continue to work diligently on our pricing and marketing programs for 2017. In today's world, you got to be spot on with both those to really earn the sales and the dollars from your customers. Over the years the reality is we’ve been a difficult company for our customers to work with on pricing of products and I’m referencing North America tire when I talk about that and I think we’ve probably out thought ourselves, we’ve made things more complicated by thinking we are smart and adding complications, we've been hard to understand our pricing structure and as a result your harder to work with as a company. And so, we over the past few months have really been working diligently and in - early part of 2017 will release our new pricing program and it will make us much easier to work with. We have learned more in the last 4 or 5 months about our pricing and our strategy and where we fit within the marketplace then I think we have in a long, long time. And in fact, I have a Grizzly veteran that runs our North American sales team, and he’s been in the industry over 30 years. And he is said to me multiple times over the last couple of weeks that, with what we’ve done with these pricing initiatives, he has never been more exciting for an upcoming year than like he is now. So these are just a few examples of what we are doing that has moved our organization forward and we are excited about. We know 2017 is going to continue to have its challenges and as I stated earlier, we are definitely prepared to meet them. However, I was out with a big tire dealer earlier this week and talking business. He agreed that the OEM market is going to continue to remain challenged, but he said he believes 2017 is really going to be a good year for the tire replacement business. And the point of that is, there are bright spots out there, you just got to go find them and you got to chase them hard and we're looking forward to doing that. What I want to do now is turn the call over, you know as we noted last quarter we’d hired a Jim Froisland as our temporary CFO, who along with our Chief Accounting Officer had been doing a good job in addressing our material weakness and preparing solid timely financial information to our organization. So, I've been very pleased with were things have been over the last couple of quarters with that group. Titan is still working through the process of hiring a permanent CFO, but I do want to introduce Jim on today's call and would like now to turn it over to him to discuss the financials. So, Jim it’s all yours.
Jim Froisland: Well, thanks Paul. Let's take a look at our financial results now. As stated in the press release, sales for the quarter came in just over $306 million. This was down less than 1% or $2.6 million from a year ago. The quarter-over-quarter decrease was primarily driven by price mix. In terms of segments, earthmoving and construction volumes were higher, but offset by lower volumes in both Ag and consumer. There was virtually no impact from currency. This is a welcome change given the volatility we’ve seen over the past several quarters. Turning to geographies, our North America business continues to see lower sales volumes across each of their segments. The good news is, we’ve other geographies that have seen business improvements in both sales and gross profits. As Maurice and Paul stated, we saw both, we saw sales, but also we saw gross profit increases in our regions outside of North America, in Latin America, Europe, Russia, and Australia. So, again some positives coming out of those markets. Moving on to gross profits and margins, our gross profit dollars were up nearly $7 million for the third quarter, that’s at 26% increase from the prior year on slightly lower sales. As Paul stated, our overall gross margin performance was up 230 basis points from the prior year to 10.8%. It’s a tremendous accomplishment in our team's part to have achieved that level of margin improvements in the third quarter, given the challenges and the strong headwinds in our end markets. We have talked about our margin performance for several quarters and we're proud of what we have accomplished our one Titan team operating model along with business improvement framework have really been instrumental for us to be able to maintain and actually improve our gross margin percent, despite the large reductions in sales unfavorable price mix that we have experienced. Let's take a look now at our segments. Our agriculture segment revenue was down $2 million or 1%, which is in line with overall sales decline. The North America region continues to slow, declines in the high horsepower products that Maurice mentioned with an overall North American decline of 17%, which again was driven by primarily volume. The bright spot for this segment was Latin America, which rebounded in third quarter over the prior year with a 54% increase in sales. Our market share in this region continues to improve which positions us well in Latin America for nice profitable growth when this economy starts to pick up, again. Europe and Russia also increased sales over last year. On a gross margin basis, Ag improved 235 basis points with every region showing improvements from the same quarter to last year. North America improved 180 basis points in spite of the previous mentioned volume decline. This further demonstrates the actions taken from our business improvement framework are taking hold and we’re seeing the results there off. Let’s move on to earthmoving and construction. Our sales for earthmoving and construction were up $3 million or 3% for the quarter. While North America showed ongoing softness, we continue to see improvement in our undercarriage mining and aftermarket business. We’ve talked about this growth last quarter and it’s nice to see the investment in these projects continue to pay dividends each quarter. Our Australian mining business within this segment has also been - have seen modest improvements. Similar to my comments within aggregate segments, we experience 239 basis points improvement in gross margin while earthmoving and construction with all region showing gains compared to last year's third quarter. In our consumer segment, you'll notice revenue was down $4 million for the quarter. Lower sales were driven by a decline in low margin supply agreements in Brazil, as well as lower sales of high-speed train brakes in China. Again we were able to improve gross margin by 230 basis points on lower sales. Now turning to operating expense, SG&A was slightly up by $800,000 for the quarter, compared to the prior year period. As we have stated over the past several quarters, our strategy with our operating expenses has and continues to be to invest in sales and marketing as Paul mentioned, as well as R&D during the downturn. This represents a way for us to combat the market conditions we face currently. We are starting to see the benefits of those investments in our results and this will continue to improve as the market improves. We’ve also spent some money this period and the anti-dumping case that you are aware of, this impacted our SG&A during the quarter. So, let me summarize the P&L results. Our third quarter adjusted EPS came in at $0.18 loss per share. Adjusted EBITDA for the period was $9.6 million. Comparing that to last year, we were at an adjusted loss of $0.59 per share with an adjusted EBITDA of $2.7 million. Now these are adjusted numbers I’m quoting, but the only adjustment during the quarter in either year was the removal and redemption value adjustment relating to the settlement put option in Russia. So, we showed improvement overall when you compare this third quarter to two last year. I’d like to move into the balance sheet, I’d like to touch quickly on a couple of items there for the quarter. Accounts receivable was down $12 million. DSO remained similar to third quarter of the prior year at 54 days. Inventory was up slightly during the quarter. Our days sales inventory increased 7 days during the quarter to 93 days. This is a 15-day increase from 78 days at this time last year. This was driven by a strategic increase in select inventories related to both: the mining and aftermarkets, as well as certain tire products. We continue to manage inventory, while aligning ourselves with customer demands for specific products needed in the market on both seasonal and competitive basis. Accounts payable did increase $7 million this quarter. This reflects 12-day improvement in DPO, since the start of the year and a 10-day improvement over third quarter of 2015. Our cash balance ended the quarter at $215 million. This compared to $200 million at the beginning of the year and $207 million at the end of our most recent quarter. So, we continue to be diligent in manning our liquidity and our cash flow in the midst of these tough market conditions. Balance sheet - management remains a significant focus during the quarter and will certainly be on our go forward basis. Just a couple more things involving our debt. I want to bring up 60 million of current convertible bonds, which are due this January, while our positive cash position gives us flexibility and comfort with using our cash to repay this debt. Our stock has recently traded at a level which exceeds the $10.75 per share conversion price. Either way, this event is expected to reduce our debt and the associated interest costs beginning in the early 2017. Although we have no current borrowings under our revolving credit facility, we have begun renewal discussions and we currently anticipate completion of this renewal process in early 2017, in advanced of the December 2017 maturity. So, wrapping up, there are some positive takeaways from the financial results this quarter, despite the continuing challenges within our markets. We’ve seen some stabilization in Ag, improve margin performance, diligent liquidity management is just to name a few. As an organization, our Titan team remains focused on managing those areas, which we can control. So with that, I’d like to turn the call over now to the operator for questions. Thank you.
Operator: [Operator Instructions] The first question comes from Brent Rystrom of Feltl. Please go ahead.
Brent Rystrom : Thank you. Could you guys give us a sense, when you talk about LSW tires and we think about the aftermarket opportunity, how we should think about the incremental revenue and then how do margin should look on the replacement cycle?
Maurice Taylor: Well, Brent good morning. Firstly, and I know you’ve travelled and you’ve seen it and you understand what’s cooking. The big thing is the OEs basically average around tractors and big iron and combines, duals on 75% of the equipment they have been producing for the last one or two years. The market out there is huge. What we’ve found out is that horsepower if you go from the duals to the super singles, you actually can use a low horsepower tractor and pull the equipment and go through the field at the same speed. So, it’s got so many big advantages and now it’s starting to float out there at the same time that farmers are getting very conscious of what their cost does. And I think that an answer to your direct question it’s - we've been, and Paul has been working real hard with the sales staff so that you got two different customers. You have to convince the farmer and show him how much he can make more and how much he is going to save and then for him to place the order. So that’s why Paul has moved the risk wide with our salespeople because when you walk into a tire dealer, which is a farmer who has kind of replace his tires, he doesn't have to replace the wheels, he just goes by the tires. So to catch the wheels, here is going to have to pay more money. So he’s going to have to see it. So, it really becomes, in the marketing side of showing what the benefits are. And when that happens, you're looking at, I would say probably everyone you sell your - from - on the margin side, you are from 20 and above, it’s pretty decent in this market and Paul probably has, all right go ahead Paul, you stepped in now, you know the number because you’ve been looking on them more than I do.
Paul Reitz: Yes, I mean what we are doing Brent is we got these guys who have been training for the last couple of years, not just understanding LSW, but understanding what the end-users want in our product and they have been doing it from a technical perspective and what we are doing is basically saying look guys you’ve done a great job with that. You have the relationships out there with end-users and it is like, more you said, it’s a different process selling LSW, so we’re combining the two with that. How we go to market is, still the same as what we’ve been doing, but now we’re going into sales mode. Going beyond just being these technical advisors, going beyond just working with the task guys, and so in that sense we have basically doubled the size of our sales force and they are going to be out there just like they have, but they will working under the direction of the territory managers as well. So if they need to cover of some of the areas where possibly we weren't as good or even a little bit weaker with making those daily contacts we now got an arsenal, a troop of people that could take care of that and they are well trained, very knowledgeable, and a good group of guys. So, we're pretty good excited about what we can do with that. It’s been well received internally and we're going to get that unleashed there and basically now and in early 2017 you combine that with what we have been doing on the pricing side. We’re going to be well-positioned.
Maurice Taylor: One other thing that stepped in Brent is that we were at a big tire dealer up in Iowa he has probably moved well in excess of 500 LSW tires that is big. And when we, Paul and I met with him and of course it’s a wheel and a tire and he did not know - he knew basically about the less contraction, about the power hop going away, [indiscernible] he never knew because he never read the press release that we sent out about, you had 6 bushels of soybeans and the farmer is in Iowa - between 1000, the average farmer I believe is between 1000 and 1500 acres. So, if you got half of it in soybeans, you are at 60 bucks an acre. You really - that is 42,000 bucks. So, and then you need to check with the corn, it’s only 16 bucks at $3 a corn, but that is a - you’ve paid for the tires, the LSW tires and wheels, and just on that. Forget all the other benefits you get with it. You’ve done that in three months, four months max of what you have done in your pricing to pay the extra. And that’s where we are at.
Paul Reitz: Brent as you know, you sprinkle wins from fuel efficiency savings as well. That looks pretty good from the farmer's pocketbook perspective.
Brent Rystrom: And I think all of that is helpful. I guess what I am trying to get at, it may be easy scenario, if we go back to the farm progress show. I think you guys had them on a 9460 out there and what I’m wondering is can you tell us from pricing perspective or from revenue perspective if you were to put all LSW’s on that 9460 as you had on your test drive model there versus replacing those with duals. How does that revenue look per tractor and then are the margins higher than they would on the dual types?
Maurice Taylor: On an OE segment the -I’ll tell you that it is pretty, it is because you are dealing with 8 wheels and 8 tires versus 4 and 4. The revenue is going to be pretty close to the same. The margins are going to be substantial and I’m not going to stay out and call what they are because you know, as well as I do that every OE is on my phone call, okay. So, let’s just say that yes they are better. The aftermarkets are better, better.
Paul Reitz: Yes, and I made a comment about it, it was kind of vague. I mean we are doing well with our LSW performance. We are satisfied with the growth, I will say its double digits this year. Where I was vague as I said we price it as a premium product in the marketplace and that was my way of saying like Maurice said you don’t want to come on this call and blab it to everybody, but that was my way of saying. We have not discounted this product to generate sales. The margins are good on LSW. We are keeping it as positioned as a premium product in the marketplace, while growing sales. So that’s why I say it is a win, win. The farmers, the economics look good for the farmer’s perspective and it looks good from our perspective as well.
Brent Rystrom: My final question on that, just a real quick thought, I’m just trying to figure out from a framers perspective on a replacement, so if the tires are comparable in cost, how much extra does this deal cost? So what’s the wheel on that 9460 going to hit the farmer?
Maurice Taylor: If the farmer already has the tires and wheels on a 9620, you go to the super single, you know what are you going to do with the old one. If the OE was offering it then what would happen is that one wheel would probably come in fairly close to - he is not going to be a big premium at an OE level, that’s what I’m saying, but now on that 9620 what we are doing, and part of the reason I was in Russia is, there is no one to make a tube. We are going to take 90, like a 9620 out West and we're going to run that against a quad big singles 1400 x 46s, but because of the hills out there, which most people on this call would realize you got rolling hills, that’s all green country, most of it is out there. And then obviously you have big drop-offs. So for safety you want to put a tube into it, and you also want to put a rim. You got to make a wheel that is similar like a forestry wheel. So, we are not out there yet. We are running LSWs on sprayers et cetera, those are narrower LSWs and they are running great. We actually can make LSWs for the dual application, but that out there where we want to put out on the 9620 our big 14000/46. The smaller tractors you go from the 1250 down. So the farmer and the OEs are two different animals that we have to work with. So, right now we figure for OEs that takes them so long and so they trim up and get their bureaucracy down that we’re going to concentrate pretty much on equipment dealers tire dealers and right to the farmer. That’s what we're working on.
Brent Rystrom: And then quick final question, you got $215 million in cash, you've got the sale of the track business, you’ve got the potential sale of other , you’ve got the $60 million of debt due, clearly you're going to have a lot more cash on hand if these sales go through, you need to mode out their sales, you may have a little bit too much cash on hand, can you give us a sense of what you're thinking about the balance sheet over the next say couple of quarters, how that might evolve as some of that cash is realized.
Maurice Taylor: The situation is, let us just assume you have to ITM closes right after the first of the year, then what happens to you, you add that chunk on to where we have. Now originally, we had assumed our shares would be that you would be calling those bonds as they expire. So, two things we expect to happen because there is – in our bond agreement on the converts there is a little extra ticker in shares where we are going to hold those bonds, so if the stock continues to stay pretty close to where it is, I would expect those to convert to shares. So, then all of a sudden that $60 million that you are not pushing out, well. Now on demand you’ve got a tremendous amount of cash. So, then I would figure at this point and it’s all up to the board and what they wish to do, but we would probably increase our ownership a little bit in Russia and we probably look at the 2020 bonds, look at bringing those in and whatever we do, or restructure that, go for longer periods. All these things are available to us and that’s up to the board. It is just like on TPRC when you look at what's happened in Canada, we have the opportunity where it is a province of Alberta, you size to put a 10% on reclamation to the people selling the tire. At this moment in time, we are the only one who can honestly say there is zero pollution and we take it to carbon black, oil, and steel and has been running and we just - actually our friends at Suncor have said we have done such a good job. They want us to look at a bunch of other stuff. So, what happens if that takes place, you basically double the revenue of that facility. So, there are so many things that are in the air right now. That – it’s all positive. There are no negatives there. The only - and then what happens with the election. That’s only five days away. If Trump wins, I think it’s a big move for both - when everybody talks about free trade, there is only one thing people forget. There is no such thing as free trade when it comes to Ag, otherwise the American Prime Minister would be driving Rolls Royce because they would just - no one can compete with them, even Brazil who gets two crops a year. They lose too much. What happens if he takes ethanol moves in a little bit [indiscernible]. So that is the way it is. I am an extreme optimist and I always head the normal life, but I wouldn't - I couldn't tell you what’s going to happen. I don't know about that. All I know is, we have a plan, one way or the other.
Brent Rystrom: Thanks guys.
Maurice Taylor: Thank you.
Paul Reitz: Thanks.
Operator: [Operator Instructions] The next question comes from Alex Blanton of Clear Harbor Asset Management. Please go ahead.
Alex Blanton: Hi thank you, can you hear me?
Maurice Taylor: Yes.
Alex Blanton: Okay good. You mentioned that the Russian client would be shipping Goodyear Tires for the farm sector into Europe starting in the first quarter?
Maurice Taylor: Yes.
Alex Blanton: Now in the past call, I think now we are supposed to take price in the fourth quarter, so it looks like there has been some delays, could you elaborate on that?
Maurice Taylor: The equipment we shipped through, we shipped over there and I was there last week. The first group of equipment arrived. The market and the radial tires, big radial tires, they are producing those as the numbers and they spoke, they are doing really well, in fact they are a little behind, also in the orders that have been coming in. So, the equipment was held up. I shouldn't call it held up, it’s just that you can't land it at the port, grab it, and ship it. You know it’s like, we had a whole team moving there. If you're even on your plane, you got to have a boarding pass to go on your own plane. I mean it’s still a slow process, okay. So [indiscernible]. Pardon.
Alex Blanton: Yes understandable.
Maurice Taylor: Alright. So that's what's doing in. You can't get it done as fast as we get it done here, that is what I am saying.
Alex Blanton: You said that you are behind in filling orders, are those orders for the Russian market?
Maurice Taylor: Russian market. What has happened is Putin has, there is a couple of things going on Putin has turned around and he’s put a push to help farmers and to move the Ag business forward over there, and so that’s increased demand, which is good for us. It is the same situation, our Turkish plant has been doing really well. It’s profitable. We are amongst Goodyear. We had two companies, we have decided now to go with one to make our Goodyear tires, and not only for that market in Turkey, which is we have a big demand for Goodyear brand tires in Turkey, as they used to be made at the Goodyear plant before they got out of it. This other company bought all that are equivalent. So, now it’s a very lucrative market because they slapped the 28% duty on the wheel, tire, anything coming into Turkey, to protect their industry. So, we are there and that’s what we’re excited about.
Alex Blanton: Second question is, you mentioned making wheels because you can't import them, are you importing them?
Maurice Taylor: No, you can import the wheels into Russia.
Alex Blanton: No, no Brazil. I'm talking about Brazil.
Maurice Taylor: Brazil. Brazil is they charge the duty. So, what we have decided to do, to speed everything up is that we are going to do the wheels in Quincy and container shipping down pay the taxes and pass it on. The farmers don't like that, the big farmers, but they are so impressed. I didn't mention this, but when you look at how doubling the speed they go across the field, and then you look that they don’t have any slippage, they are going to cross those fields now, and when you look at their savings in fuel, it’s not because, our tire is moving that tractor and they had so much slippage on the ground that their fuel use was way up, this saving 25% in fuel.
Alex Blanton: You said, you were going to make the wheels at Sao Paulo tire plant, when will that take place?
Maurice Taylor: We will be making wheels there, probably between the end of the – now this is provided the government there gives us approval by the end of December. Okay, they've had this paperwork. We've had lawyers, everybody going to them. The equipment is here in the U.S. and it will be penned because we are not placing orders. Paul is down there too. We have to buy the painting system in Brazil. And we are not placing the order until the government approves. When they approve it’s a whole package of all the equipment we can send down there and then place orders. So, now - in the December that they push it you will be making wheels down there, third quarter of 2017.
Alex Blanton: That’s only about six weeks, you need to get the government approval, then you need to ship the equipment down there and you have to own the pain system and install it?
Maurice Taylor: Well the paint system will be ordered. It will take you probably 90 days, if start having the equipment coming, but now you can put the power and do everything. The equipment is fitting, so it’s not going to take us long to get that going. It’s the paint system, the paint system you're looking at basically 6 months to 8 months. First part they will come in, you are going to sell that, and so you're looking towards the end of third quarter in Brazil before you make any deals [ph].
Alex Blanton: And if they are …
Maurice Taylor: So, not only LSW, they are for everything.
Alex Blanton: Okay. So it is about a year from now, you would be shipping? Making wheels in Brazil.
Maurice Taylor: Yes.
Alex Blanton: Alright, that’s the answer. And then one more small question, you mentioned the price being a reason sales went down, how much was the price factor? You didn’t mention how much it was?
Maurice Taylor: What did you - Paul you are closer to that than I am.
Paul Reitz: What are you referencing there Alex?
Alex Blanton: Well you said that sales were down year-over-year, total sales.
Paul Reitz: Yes.
Alex Blanton: So, what I’m asking is, how many dollars was the price decline?
Paul Reitz: In our 10-Q we do talk about price volume and the impact it has on sales. So we do break…
Alex Blanton: I don’t have your 10-Q right now, what is it?
Paul Reitz: Jim, I don’t know if you have any of that information in dollar terms in front of you. We talk about it in percent terms in the 10-Q.
Jim Froisland: We don’t have the dollars, we give the percent in the Q.
Alex Blanton: What’s the percentage? What I’m trying to get is, what’s the real volume increase? That’s what I’m trying to get at.
Jim Froisland: Around 5%.
Paul Reitz: Yes, go ahead Jim, if you got the Q in front of you.
Jim Froisland: Yes, it is around 5%.
Alex Blanton: So, something around $15 million.
Jim Froisland: Correct.
Alex Blanton: So, if you take that out, your sales would have been up $9 million.
Jim Froisland: That was year-to-date number 5%.
Alex Blanton: 5% year-to-date. What is the quarter?
Paul Reitz: We are down – we had 6% volume reduction in Ag and then price mix hit us for 4%. So looking at a larger segment Alex, those are the splits for the quarter, but what you got to remember when you start talking about price mix is, it is driven also buy raw material fluctuations that can be passed through the contract. So it’s not all pricing pressure within the market that drives that 4% drop in price.
Alex Blanton: All right.
Paul Reitz: And if you look at our earthmoving construction, we had an increase in volume for the quarter of 10% that was offset by a reduction of 7% in price mix. So, we don't split out price mix, but we do combine - we do split out volume versus pricing in the 10-Q.
Alex Blanton: So Ag was minus 6% volume, minus 4% price. And construction was plus 10% volume, minus 7% price and that was for the quarter, correct?
Paul Reitz: Actually, you know what I said there is a 4% price mix increase in Ag, correct Jim? So volume was down 6%. So for the quarter, we were down 1% for Ag, okay. And then roughly 5%, 6% was from volume reduction offset by a price mix.
Alex Blanton: Oh, that was a price increase.
Paul Reitz: Price mix improvement of 4% and then it does the opposite when you look at earthmoving construction where you had the volume increase in a price mix reduction. So they are opposite for Ag versus earthmoving construction.
Alex Blanton: Got you. Okay. That was for the third quarter. And there is no indication that rubber prices are going up?
Paul Reitz: In talking with our supply team last week we kind of see it, predict it to be relatively flat for visibility going early into the year kind of not much expected.
Maurice Taylor: I don't think it’s going up Alex because automotives is dropping, okay. So automotive is dropping and when you look at Ag and earth mover it has no bearing on the natural rubber prices. Automotive does. So, if anything, it will have a tendency to drop.
Alex Blanton: Okay. Thank you.
Maurice Taylor: Thank you.
Operator: This concludes the question-and-answer session. I would now like to turn the conference over to Mr. Taylor for closing remarks.
Maurice Taylor: Congratulations to all a few company [ph] fans and congratulations to those in Cleveland. We have got a lot – that was one hell of a team you put together. So enjoy yourself for the holidays and stay safe. Thank you all. Bye.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.